Operator: Good morning, ladies and gentlemen, and welcome to the Western Forest Products Second Quarter 2022 Results Conference Call. During this conference call, Western's representatives may make forward-looking statements within the meaning of applicable securities laws. These statements can be identified by words like anticipate, plan, estimate, will and other references to future periods. Although these forward-looking statements reflect management's reasonable beliefs, expectations and assumptions, they are subject to inherent uncertainties and actual results may differ materially. There are many factors that could cause actual outcomes to be different, including those factors described under risks and uncertainties in the company's annual MD&A, which can be accessed on SEDAR and is supplemented by the company's quarterly MD&A. Forward-looking statements are based only on information currently available to us and speak only as of the date on which they are made. Except as required by law, Western undertakes no obligation to update forward-looking statements. Accordingly, listeners should exercise caution in relying upon forward-looking statements. I would now like to turn the meeting over to Mr. Don Demens, President and CEO of Western Forest Products. Mr. Demens, please go ahead.
Don Demens: Well, thank you, Chris, and good morning, everyone. I'd like to welcome you to Western Forest Products 2022 Second Quarter Conference Call. Joining me on the call today is Stephen Williams, our Executive Vice President and Chief Financial Officer; and Glenn Nontell, our Vice President of Corporate Development. We issued our 2022 second quarter results yesterday. I'll provide you with some introductory comments and then ask Steve to take you through a summary of our financial results. I will follow Steve's review with our outlook section before we open the call to your questions. We generated adjusted EBITDA of $66.2 million in the second quarter, which was consistent with our first quarter results despite an increase of $16 million in stumpage expense. We benefited from our specialty product mix and strong log pricing. However, we remain challenged by logistics constraints, particularly rail and truck capacity, which impacted shipments in the first 2/3 of the quarter when lumber pricing was strongest. During the quarter, we successfully rebuilt log inventories to more normal levels despite late spring snow conditions and harvest permitting challenges. We experienced mill downtime in the early part of the quarter due to a lack of logs. Our strong results continue to leave our balance sheet well positioned. We ended the quarter with $84 million of cash in our balance sheet, and our duty deposits with the U.S. Treasury have now grown to $182 million. Our strong balance sheet and approximately $320 million in liquidity provides us with significant flexibility to continue with our balanced approach to capital allocation, allowing us to continue to invest in our business while also returning funds to shareholders. During the quarter, we confirmed $29 million in strategic capital investments in our BC coastal mills. These investments will support and grow our value-added Wood Products business as well as improve our long-term competitiveness. Just after the close of the quarter, we were pleased to announce the acquisition of Calvert, a glulam manufacturer in Washington state. Our move into the glulam space has been a project we've been working on for some time. Calvert is well known for the production of high-quality glulams for residential, commercial and industrial applications around the world. We believe there's an opportunity to grow the production of Calvert by leveraging our lumber supply base. Our ability to vertically integrate the production of glulam makes it somewhat unique in the space, and we'll provide customers the confidence of product delivery and pricing stability that nonintegrated businesses have been challenged with. In addition to growing Calvert's existing business, we believe the acquisition will position Western to capitalize on the growing North American mass timber building market as glulams are an integral component for mass timber. As part of our balanced approach to capital allocation, we've announced the renewal of our 10% NCIB in addition to paying a regular dividend. I'm proud of the accomplishments of our team at Western and look forward to ensuring a smooth transition as we welcome Steven Hofer as Western's next President and CEO. I'll now turn it over to Steve to review our key financial results.
Stephen Williams: Thanks, Don. My comments will focus primarily on our financial results for the second quarter of 2022 with comparisons to the second quarter of last year. We reported second quarter adjusted EBITDA of $66.2 million as compared to $120.4 million in the same quarter last year. Results in 2021 benefited from record-high commodity lumber prices. Results in the second quarter of 2022 benefited from higher specialty lumber prices, higher log prices and shipments and a stronger U.S. dollar. Results were offset by lower lumber shipments due to logistics challenges and weaker demand in certain lumber segments, lower commodity lumber prices, $28.1 million in higher freight, stumpage and export tax expenses and $13.5 million in incremental inventory and silviculture provisions. Lumber revenue was generally flat compared to the second quarter of last year. Higher lumber prices in certain segments were offset by lower shipment volumes. Our second quarter average realized lumber price was $1,786 per thousand board feet, an increase of 12% compared to the same period last year. Log revenue increased 53% compared to the same period last year due to higher log prices and shipment volumes. All export-grade logs were redirected to our sawmills to support lumber production. High product revenue was generally flat compared to the same period last year. Increased chip price realizations were offset by lower chip shipments. Rate expense increased 16% compared to the same quarter last year. Lower lumber shipments were more than offset by higher freight rates, fuel costs and greater usage of breakbulk vessel shipments. Stumpage expense more than doubled compared to the same quarter last year, increasing to $34.9 million in the second quarter as compared to $15 million last year. Second quarter results included $14.7 million of export duty expense as compared to $10.8 million in the same quarter last year. At the end of the quarter, we had approximately $182 million of duties on deposit. Lumber production was 16% lower compared to the same quarter last year due to operating curtailments related to log supply and production mix. Log production was 11% lower compared to the same quarter last year as late spring snow conditions and permitting delays impacted production. We ended the quarter with approximately 968,000 cubic meters of logs. Looking at second quarter cash flow and capital management. Cash provided by operating activities before changes in noncash working capital was $31 million. The second quarter of 2022 included income tax payments of $29.6 million. Cash used in investing activities was $6.7 million in the second quarter. We ended the quarter with $84 million in net cash and $319 million in available liquidity. Don, that concludes my comments.
Don Demens: Great, Steve. Thank you. Let me start off our outlook section by touching on third quarter seasonality. Typical third quarters can be challenging operationally as hot dry weather can restrict logging activity, reducing harvest volumes and impacting costs. While we have yet to experience any significant forest fires in our areas of operation, hotter and drier conditions combined with potential harvest permit delays may impact harvest levels through December. As we look to our markets, strong North American housing market fundamentals should support lumber demand and pricing above trend levels in the mid- to long term. An aging housing stock, housing deficit from years of underbuilding, the influence of work-from-home arrangements and the growth of mass timber construction are expected to drive demand for lumber well into the future. That said, in the near term, rising interest rates and slowing economic growth may cause demand and price volatility. It is our view that supplier reductions in the BC Interior and the lean inventory in a logistics constrained supply chain are expected to limit significant downside pricing risks. Rising inflation has begun to impact our business, and we anticipate the cost pressures and market volatility may continue until inflation returns to a more normalized range. To manage the challenges facing the business, we will continue to leverage our flexible operating platform to match production to market demand and logistics capacity. Turning to capital allocation. We remain committed to a balanced approach to capital allocation. Our strong balance sheet and net cash position allow us to continue to pursue targeted product line growth opportunities to create long-term value while at the same time return cash to shareholders. I'm pleased to confirm that we have renewed our 10% NCIB. And at the current share price, we plan to be aggressive under the NCIB, given our shares are currently trading approximately 30% below book. For 2022, we continue to estimate total capital expenditures of around $60 million to $65 million. And to this, we will need to add our acquisition of Calvert. Turning to what's next. We look forward to welcoming Steven Hofer, as Western's next President and CEO. Our priority is to ensure a seamless transition as he steps into the role in September. Stephen brings a wealth of industry knowledge and leadership experience that will allow him to guide the execution of our strategic plan and continue to deliver long-term shareholder value. So with that, Chris, let me open up the call to questions.
Operator: [Operator Instructions] First question is from Paul Quinn.
Paul Quinn : Just a question on Calvert glulam. Production at that facility was quite a bit lower than capacity last year. What's the constraint on production and what's your plan to grow the capacity?
Don Demens: Yes. So absolutely correct. Production was lower than capacity. The challenge is most nonintegrated glulam manufacturers face is having to purchase lumber on the open market, which is pretty volatile. And so I think that probably contributed to a challenge for the operation to be able to access enough fiber and enough high-quality fiber pulp that would fit the glulam application. I think this is where we -- one of the advantages of us acquiring Calvert is because we're going to want to retain existing supply base and supply sources for Calvert, but also add at our own product lines and our own supply from our mills. And we think we can grow the production at Calvert to the kind of the first step up to their capacity and then we're looking for growth from there, for sure.
Paul Quinn : Is that glulam product, is it all Doug Fir? Or is there some hemlock as well?
Don Demens: Right now, at Calvert, the species they convert over to glulam would be Douglas Fir, you're right, also Southern yellow pine and yellow cedar. And so I think the fact of bringing southern yellow pine underscores the common need around supply challenges. I mean it doesn't make a bunch of sense to bring Southern yellow pine in from far away. Your question about hemlock is a very important one. While hemlock is approved to be used in the application of glulam, we're not aware of any glulam manufacturers that have been approved to use it. So you can have a general approval for hemlock, but you need to have the individual operations approved to use it with certain product quality recipes. And of course, we've for quite a while, we've been working with -- actually working with Calvert and others to ensure they can use hemlock in their glulam or [indiscernible] manufacturing.
Paul Quinn : Okay. And then just on to specialty lumber prices, they had sort of a peak level in the quarter. Just wondering how you think of the sustainability of that pricing level.
Don Demens: Yes. So especially lumber product pricing was driven by strong sales in Japan, for sure, and strong appearance grade product sales in Cedar. I think in each one of the businesses, we're probably a little more challenged as we look forward. In Japan, the yen has weakened substantially, and there's more inventory. So we could expect to see some erosion, while historically, the pricing is still going to be -- remain above any sort levels and trend levels. In cedar, we're seeing continued strong demand for clear lumber as well as timbers but certainly more muted demand in the trim and decking markets. So it's a bit of a mixed bag, Paul, but I think you could -- the second quarter was kind of the peak in specialty product pricing.
Paul Quinn : Okay. And then just on log sales. I mean those volumes could be pretty high, I don't know, relative to my forecast. But I didn't really see a change in pricing. Why be so aggressive on log sales and why not increase inventory, so you have enough wood for the back half of the year?
Don Demens: Okay. So maybe 2 questions there. So how are your log inventories, they're kind of close to like 90% -- about 90% of historic levels at the current rate. So we're feeling pretty good in the inventories we have currently. We have just simply been matching our consumption needs with our available supply. And so you would also see we have increased our purchases. And so we're targeting certain logs for certain mills. Where we see we have a surplus, we will sell them, and that's what we did in the second quarter.
Paul Quinn : Okay. And then just lastly, you took some curtailment early in Q2. Just wondering what's not operating at full capacity currently.
Don Demens: Well, we're running mills today at capacity, still late on custom cut. The log quality and log volume available for the programs we have there, it just haven't been available. And if we go back to Q2, where we saw the biggest impact was at Alberni, which didn't have enough logs to operate, and in custom cut. So still seeing some challenges on the custom cut side. The rest of the mills are running as we have been.
Operator: [Operator Instructions] Next question is from Sean Steuart.
Sean Steuart: A couple of questions. Calvert seems like a logical fit. Can you give us perspective on what else might be out there, not specific assets, but I guess, scope of potential M&A, whether it's glulam or other value-added products accessing mass timber? What is the M&A opportunity set look like? How much opportunity is there to build on this acquisition, not just organically increasing production at Calvert, but through M&A as well?
Don Demens: Sure. So a couple of things, and then I'll even talk further about M&A. But look, we're really excited about Calvert. And we've been working for quite a while, including taking trips to Europe to make sure we understand the business. Most of the glulam operations are quite undercapitalized. I think this lack of integration -- vertical integration and security of supply has challenged the manufacturers. So we see tremendous growth opportunities within the glulam business and within the base business we've got at Calvert by adding some capital and automating some of the processes. Where are we going next? I think we have to be looking and we are looking at how we participate in fabrication as well as factory building. So if you can think of this business, more and more of the glulams and more and more of the, say, mass timber construction is going to be done in factories. And so we are going to be focusing our efforts and seeing where we can participate in fabrication and growth opportunities in factory building. And the reason why that's very important is because the alternative, if you're just going to make the raw material, is to lean out someone's supply chain to be a low-cost producer. We think there's more margin in partnering with people moving up the value chain, and that's really the basis for our acquisition of Calvert to move up the value chain and make -- have our products and our base lumber products more valuable. When we think of M&A, looking forward, it might be a combination of partnerships and the like to expand our engineered wood products offerings. When we look to M&A as just growing our business, and our focus has been in the U.S. Pacific Northwest. And I'm pleased we're starting to see as the market's moderating here a few more opportunities show up. I can't guarantee time lines as to when things will happen. But certainly, our focus on the U.S. Pacific Northwest and developing 2-way relationships in Japan continue. And I think I can say that the environment is a little more positive as we look forward.
Sean Steuart: That's encouraging. Second question, just on the specific capital projects you have identified here. The overall CapEx for this year, I think, is unchanged Were any of these investments already envisioned in that previous CapEx guidance? And if not, should we assume most of this gets loaded into the 2023 CapEx budget?
Don Demens: Yes. I mean you've hit on a really challenging -- it's been really challenging for manufacturers to be able to stick to their capital budgets when the supply chain of equipment and services have been so challenged. So you've kind of hit on something quite important. Many -- we had a number of the projects previously announced. We were trying to bring them together to explain what we were trying to do. The biggest new announcement in that $29 million was a continuous kiln at Salt Air, but the other announcements include auto wrapper at our Duke Point planer and some modifications to our sorters, which allowed the operation to run faster, be more efficient, drive down costs, very important when we're talking about a little more dimension type material coming out of our mills. And the third one there was an MSR machine, which will be going in at the end of the year, the beginning of next year, which will allow us to separate the products by strength and service the glulam business and the thrust business. So the $29 million were envisioned. The $60 million has stayed the same and some of those expenses, you are right, will flow into next year, particularly the kiln.
Operator: There no further questions registered at this time. I'd like now to turn the meeting over to Mr. Demens.
Don Demens: Great. Thanks, Chris. Well, and thanks, everyone, for your continued support. We appreciate your interest in our company and your time on the call today. Steve, Glenn and I are available if you have any follow-up questions. And with that, have a great day and a great rest of the summer. Thank you.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and thank you for your participation.